Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the Unipol Full Year 2025 Preliminary Results Conference Call. At this time, I would like to turn the conference over to Mr. Matteo Laterza, CEO of Unipol, for a brief introduction. Please go ahead, sir.
Matteo Laterza: Good morning. Thank you to all of you for participating to this call. Before opening, as usual, the floor to the questions. Let me make some remarks on the number that we disclosed this morning. We closed the first year of the industrial plan achieving results mainly above our targets in all the principal, industrial and financial KPIs. First of all, in P&C, as you have seen, premium performed very well, both in motor and in non-motor, where in non-motor, as usual, the main driver was the health insurance, where we are following a very solid and important trend in the Italian market. The combined ratio closed at 92.9% that is in line with our target. But I think it's important to underline once again the prudence that we decided to adopt in assessing our technical reserve and in particular, in defining the loss component related to natcat event in the property line of business, which explains in a big part, the impact of natcat event of 9 percentage points in a year where, as a matter of fact, was quite benign in terms of natcat. In Life, we had a very strong performance in terms of premium driven both by agents, distribution network and bancassurance. And at the same time, we reached our target of new business value and contractual service margin. So also in Life, we performed very well. In terms of investments, we had a very robust contribution coming from the ordinary yield, which means coupons and dividends coming from our investments. And it has been a very important driver for the result that we achieved in 2025. As a result of all these items, we reported a consolidated result, as you have seen, of more than EUR 1.5 billion, which reflects, of course, a positive impact, also the positive impact coming from the participation to the tender offer that BPER launched in Banca Popolare di Sondrio. But much more important for us, and you have to focus on the insurance group net result that was above EUR 1.2 billion because it represents the contribution coming from the insurance business. And it gives to you the idea in a sort of sense of the cash remittance of the group. We think this number is very robust in terms of quality of all the items that contributed to produce this number. And this is the reason why we decided to pay and to propose a dividend of EUR 1.12 per share, which means more than 70% of the insurance group result. We think it is a very solid number. That can be considered a floor in terms of dividend that can be paid also for the year that we last in the present industrial plan. It is a very solid number also considering the very strong solvency that we reported, 233% that, as you know, is burdened by the very expensive contribution coming from the -- our banking stakes. If you look at the number of the insurance group, we are at 281%, which is a very solid number. And again, the main contribution to the solvency number come from the organic capital generation that we achieved in 2025 that once deducted the EUR 804 million of dividend is close to EUR 500 million. That is more or less half of the capital generation -- net capital generation target of all the industrial plan. So summing up all this number, we are above the first year KPIs in terms of industrial and financial numbers. Of course, we are still in the first year of the industrial plan. We have still 2 years ahead of us. But our commitment, as we said, when we disclosed and we published industrial plan is to deliver and hopefully over-deliver the number that we have as KPIs and that we disclosed 1 year ago. Having said that, with Enrico San Pietro, we are open to answer to your questions.
Operator: [Operator Instructions] The first question is from Tommaso Nieddu of Kepler Cheuvreux.
Tommaso Nieddu: The first one would be on dividend distribution. As you said, you moved the payout to around 71% of insurance group earnings, which I believe surprised the market. But how should we see it going forward? Also given that you have had a very strong capital generation, a lot of excess of capital, why shouldn't we consider 70% the new structural payout? And -- but even if we consider the EUR 0.12 dividend per share would be already well above the cumulative guidance of the industrial plan. So either perhaps you can either give us a bit more color on the payout or on the cumulative guidance? The second question is on technical profitability. It was very strong, but with, as you said, slightly higher natcat load in non-motor. So my question is, are you running with additional prudency buffer. And why is that? I thought you were already very, very prudent. And the last one on solvency. Yes, there was a very strong factor coming from organic capital generation, but part of this strong number also seemed due to lower SCR, can you explain us the dynamics there? Was it all due to BPER.
Matteo Laterza: Thank you to you. First of all, in terms of distribution, as I said, we look very closely to the insurance group result because it gives to you the idea of the cash remittance of the group. 71% is a very solid number. And we think that going forward, we are able to consider it as a sort of floor in terms of dividends also for the next couple of years. As you can see, it is above the target that we disclosed in the industrial plan. And so consequently, concerning at least the dividend, we are working on an overdelivery compared to the EUR 2.2 billion of dividend accumulated in the industrial plan. You talk about excess capital. I don't think it is excess capital. I think that we must be always in the condition to have capital and to raise capital when there are good market opportunities to do it because once you need it, you must have in your balance sheet, the capital to finance the growth in the business in which you want to grow like bancassurance or health insurance or for whatever opportunity that you can have in the future. Because when you have the opportunity, you must have also the capital. It is not suggestible on our point of view to take in consideration the opportunity without having the capital in your balance sheet. And this is the reason why I don't consider it excess capital, but only a good buffer that we can have in order to face any kind of scenario. Also the fact that we are in a very good situation in terms of performance of financial market. And consequently, you can also have in the future a risk of period for financial market that can have also a negative implication on your solvency. Concerning solvency, you said correctly that the main driver is the organic capital generation. There has been something also in the reduction of SCR, mainly driven by some change in the solvency capital requirement coming from the banking business in the final quarter of the year. But mainly the increase in the solvency is due to the organic capital generation, and there is also a positive contribution from the economic variance as a consequence of the fact that financial markets performed very, very well. On the technical profitability, I said that we were very prudent in both in motor and in non-motor, but I leave Enrico to elaborate on it.
Enrico Pietro: Yes. So as far as nat cat is concerned, we decided to take a very prudent approach on what is, as we all know, a very volatile risk. So basically, we calculated the risk adjustment on this specific risk, taking the distribution curve of the expected loss and put at the 92nd percentile the figures that amounts around EUR 220 million of additional risk adjustment. This is probably the most visible prudent move, but the overall technical profitability was very good, both on motor and non-motor business.
Operator: The next question comes from Andrea Lisi with Equita.
Andrea Lisi: The first question comes back on the solvency, which increased significantly in the quarter. we know that then you issued an AT1 at the beginning of the year. And so this will further increase the capital position. So just to understand what are you planning to do with such a level of capital? I understood that it is not considered excess capital for you because you won't have a wide buffer. But also to understand if you currently see M&A opportunities in the sector or other ways to deploy to accelerate organic growth? And related to that, we have seen that you already achieved EUR 0.5 billion of excess organic capital generation this half of your business plan target. Can we consider medium debt to be distributed to shareholders at some point? The other question is on the evolution of the business. We have seen a really good dynamic on non-motor premium, while a bit of deceleration on motor. I think this is mostly related to comparison basis. But just to have a bit more insight about what are you observing in the industry currently.
Matteo Laterza: Thank you to you, Andrea. And yes, we issued restricted Tier 1 in January that, of course, strengthen further our capital position today. As I said before, when there are opportunities in the market, we tend to take advantage of them. And the credit market situation at the end of last year, beginning of this is very positive. We were able to issue a restricted Tier 1 where we had plenty of room of computability -- was executed at a very moderate cost, 6% of coupon. And we took advantage of it. And of course, we have a very, very strong capital position, and it will be used to finance our opportunities of organic growth in excess of our assumption of the industrial plan. You know that we are growing very fast in health insurance, in bancassurance. There are no M&A transaction on the table. But once you have and this could be an opportunity in the future, as I said before, you must have the capital to exploit it. And finally, we are in a very positive situation in terms of financial market, but you never know. The geopolitical situation is very uncertain today, and we must prepare ourselves to the worst. And this is the reason why we decided to take advantage also following a lot of insight that we received from our investors to take advantage of the very positive situation of financial market. This is not excess capital. So of course, the redistribution of capital to our -- to the shareholders is not an alternative for us at the moment. We recently raised EUR 1 billion, and the reason why we did it are the one that I mentioned before. Concerning the trend in P&C before leaving the floor to Enrico. As I said before, the main driver is health insurance, but all the line of business grew in the P&C area, both in motor and in non-motor. Of course, our commitment is to combine this strategy of growth of premium with our commitment in maintaining a decent level of technical profitability in all the lines of business. But on this, I leave -- I let Enrico to elaborate on it.
Enrico Pietro: Okay. So as Matteo just said, we had growth in all our business lines. Of course, in non-motor, the main driver of growth for us, but also for the market is health that is growing double digit in this period and in which we are a market leader. And we can add also that property business is growing. Property business is growing for the market and also for us. There is, of course, an impact related to the compulsory nat cat cover for Italian companies. And this is something that is driving growth on all our distribution channels. So good growth on property for Unipol and agency network, but also on Arca, so means BPER network. As far as Motor is concerned, we have a growth of 2.6% in motor third-party liability that is the result of an increase above 3% in the average premium and a small -- very small decrease in the number of contracts and solid growth in motor other damages, 6.7% that is due both to a price effect and also an increase in the demand of motor other damages cover.
Operator: The next question is from Michael Huttner of Berenberg.
Michael Huttner: I had 4, please. Two of them on Motor, one on health and one on the CSM. On Motor, my first question is on the frequency benefit, the 12 bps, which you mentioned in the slide. I just wanted to understand how to measure that. It sounds big, but I don't know what the base number is. Is it like a 5% improvement or 10%. In other words, 12% divided by what? And maybe you can give a feel for how sustainable this is? In other words, is it structural or cyclical? Then on motor pricing, I wonder if you can give us a quick update of where we are now. On Health, just to understand the business better, can you outline what the product is. It's just to understand what the risk is. The feeling I have is it's an annual policy. It's not a lifetime policy. And therefore, the pricing, therefore, resets, and it gives cover for hospital and medical care. I mean, a fairly standard thing. But just to understand. And then the final thing, you didn't mention it, but I just wondered whether you can give a little bit more color. The CSM is up, I think, 15%. A large chunk of that is the economic variance. And I can just -- I just wondered if you can give us a bit of color of where it's coming from.
Matteo Laterza: Yes. On CSM, I will answer and then I will leave Enrico to answer on motor and health. The increase in CSM is driven by the -- also by the economic variance. Of course, the contribution to economic variance comes from the change in the assumption in financial -- and the assumption in the trend of financial market concerning the solvency, I said that also in this case, economic variance gave a positive contribution as a consequence of the fact that equity market, credit market, the spread of government bonds narrowed versus the bond. And as a consequence of that, we had a very positive contribution coming from the economic variance. Also in the case of CSM, we had a positive contribution coming from the trend of financial market. And in particular, the contribution come from the widening -- sorry, narrowing of the spread, contribution of equity and consequently from the mark-to-market value of the financial guarantee.
Enrico Pietro: Michael, So as you have seen, we had very good results in terms of technical profitability as far as motor business is concerned. As I told a few minutes ago, there was a relevant contribution in this improvement related to motor other damages classes that is not only growing at a quite fast pace, but also improving the technical profitability since, of course, 2025 was a very benign year for nat cat events, but also for the overall business line. But also in motor third-party liability, we were able to improve our loss ratio in the loss ratio has improved since -- basically, we were able to offset the increase of the average cost of the claim with the increase of the average premium. And we can consider about your question that the increase in loss frequency, the improvement in loss frequency, sorry, was something that is explaining the improvement in the current year loss ratio in motor third-party liability. We also have to add that in motor business, there was a more positive evolution of prior year reserves compared to 2024. So a couple of points are about this issue in which -- in 2024, we suffered a little bit in motor other damages because our reserves of the nat cat event of Summer '23 were not perfect. And so we didn't have the positive evolution we usually have in this kind of business. So this is about the overall result in motor. But if you can go to the second one. Second question is about motor pricing. The market had an overall average increase of prices related what happened on Milan Court schemes for permanent disability indemnization. Now we are entering a new phase in which prices are still going up, but at a very slow pace. So basically, my opinion is that we are in a very good situation. Our profitability is above our expectation in the strategic plan. So we are now below the 95% of combined ratio that is our target. And I expect that in 2026, price increase continue to be quite low because also the other players were able to recover profitability. As far as health insurance is concerned, there are different kind of product line we offer. The main one is related to corporate big businesses. So UniSalute was set up 30 years ago, 1995, believing that the Italian market will need some health insurance cover to have with a faster way services that the national health system is more and more in trouble in delivering. So what's happening is that for many years, this was the main business line for health, for UniSalute, so big agreements with trade unions, but also big corporation and funds. And we were able to grow this way. We are still growing. Now of course, there is also a relevant price effect on that because the loss frequency is increasing, and we are one step ahead increasing prices and changing condition to keep the profitability good enough. But in recent years, there is another relevant growth engine in the individual offer, both with bancassurance and our agency network that are individual products that cover basically all your possible health needs. So diagnostic examination visits for specialists, doctor specialists and of course, also if you need surgery or other medical services. So the big part of the portfolio is still corporate business, but the individual business is growing at a very fast pace.
Operator: The next question comes from Gian Luca Ferrari of Mediobanca.
Gian Ferrari: Sorry to come back on solvency and economic variances. I was trying to reconcile the 15 points increase, thanks to the economic variances. And I understood, Matteo, you mentioned BTP bond spreads going down, but actually, they went down 50 basis, which means 5.5 points, if I look at your sensitivities. Equities up could have added another couple of points. So I can reconcile only half of these 15 points. So if you can help us with all the moving parts to rebuild this impact. The second is I cannot find any more the PVNBP and the new business value in the presentation in the press release. I was wondering if you don't consider these KPIs any relevant? And if there are just somewhere else, if you can provide us the numbers. The third is some write-downs in Q4. I think it is as usual, linked to some realignment of real estate assets. But if you can give us some color on what are these write-downs in Q4 in the P&C segment. And I cannot avoid asking you the hot questions of the moment, which is about autonomous driving and AI, how these 2 factors can change your industry going forward, if you see only threats or also opportunities?
Matteo Laterza: Thank you to you, Gian Luca, concerning the economic variance, this is the breakdown of the economic variance versus the number at September '25. We had a positive contribution in the whereabout of EUR 300 million plus, where we had a positive contribution of EUR 240 million coming from the spread. The EUR 200 million coming from equity plus our noninsurance stakes and the negative contribution coming from interest rates of EUR 131 million. Maybe you were misleaded by the fact that there were also negative contribution coming from interest rates. Then if you have -- want to have more color on that, you can ask our IR to have more color on it. The other question was the new business value. New business value is a very important KPI for us. It is not a secondary Tier 2 industrial CPI. I said this in the introduction of -- to the result. We achieved a new business value that is in line with our target. And for us, it is important because you know that in Life, it is not so important. On our point of view, to be #1 in terms of premium collected, but it is much more important to the quality of the premium that you collect. And a proxy of this quality is the new business value that is, of course, strongly related to the contractual service margin that you produce with the new production. And it is a number where we reached our target overall. I have to say that in 2025, we grew in Life premium more than 20% also because of the 2 very important and very big contracts in the pension funds. Pension funds is a very interesting business, but with a very low profitability in terms of new business margin. So what we have to do going forward is to work more on the high profitability line of business like term premium, annual premium, where I think that we have room for improvement. Finally, on AI, autonomous driving, there is also some study, if I remember well, concerning the AI applied to the brokerage business that had a negative impact on the performance of the sector. We are discussing for a very long time on the implication of the autonomous driving on the Motor TPL business. Of course, there is this trend. As usual, there are threats, but also opportunities. I'm not very worried about it, both concerning the autonomous car and the use of artificial intelligence for the brokerage. But on this, maybe Enrico is much more skilled to answer to this issue than me. So I leave the floor to him. Concerning the real estate, yes, we took the opportunity to make some provision on the real estate portfolio above all in some of the building that we have, in particular, there is -- the headquarter that we have in Milano, San Donato, there is a tower that is not used as instrumental but is rented. And this rent has got to maturity, and we are looking for a new tenant. And in the meantime, we took this opportunity to restate the value of the tower to the fair value of the asset, and we took a charge in this case of EUR 20 million. On top of that, we did other restatement of a little bit less than EUR 10 million, but are very fragmented in a lot of buildings. The main one is the one that I mentioned.
Enrico Pietro: Gian Luca, so let me add something about both autonomous driving and AI. On autonomous driving, yes, I remember we were able to organize in 2015 an International Congress in Rome that was named Mobility 2025. So international expert coming from U.S.A. and of course, all over Europe about what could be the evolution of autonomous driving. And what can we see now after 10 years and is that -- this phenomenon was slower than expected. Of course, it's limited today to shared mobility. So the Waymo taxi in San Francisco that now are expanding in other 10 cities in U.S. but is what we understood in this period that is slower and probably strictly related to a change in the pattern of mobility. So much more keen to used for shared mobility solution and not yet visible for private vehicles mobility solutions. So in the end, we are -- we still are really interested in this, but I see something that will have a very limited impact on our business and very, very slow impact on our business. As far as Gen AI is concerned, we can probably discuss about the impact on our business in terms of distribution changes. And of course, we are interested in what's happening, but I think that the impact, the perception of this issue was really exaggerated. Basically, what is concerned is for the Italian market, digital distribution that never became a real relevant distribution channel. And so I don't think we will have a visible impact on the Italian market for a very long time. On the other side, Gen AI is a very important new technology in which we are investing -- already investing both to become more efficient, but also to be able to serve better our customers.
Operator: The next question is from Elena Perini of Intesa Sanpaolo.
Elena Perini: I've got 2 of them and then 2 follow-ups. The first question is about your dividend. You mentioned the possibility of over delivering versus your EUR 2.2 billion cumulated target. Are you also considering the possibility of introducing potentially an interim dividend? The second question is about your combined ratio evolution. Considering that you have already overachieved compared to your target for the motor business. Do you expect the convergence to your 2027 consolidated target to be driven from -- by the non-motor business, also considering the higher weight of higher margin businesses like the bancassurance and also the health. And how could the property business produce some noise in this. Then about the 2 follow-ups, I was wondering whether the pension funds mandates, which impacted the first quarter for Life were limited to the first quarter? Or did you have something also in the final part of the year? And then on the real estate, I was wondering whether the write-offs impacted only the other sector or in some aspects also the P&C business.
Matteo Laterza: Thank you, Elena. Concerning the dividend, we said quite clearly that EUR 800 million is for us a floor going forward. So we are already today in a sort of overdelivery mood in the dividends. So it is not a possibility, but it is a thing in which we are working on. And we are in the condition to say that we can propose this number also for the next couple of years, EUR 1.2 billion of insurance group result is a very good number above all, if you consider the quality of the number in terms of contribution coming from the technical profitability, the investment income and whatever. So we are in the condition to say that EUR 800 million is today the floor of -- in terms of dividend payment in cash. The interim dividend, of course, it has not an economic impact, but also not only a financial one. I know that the market likes this kind of payment strategy. We have to consider if our bylaw, I don't think that allow us today to do it. But in the future, we can -- by changing the bylaw, we can think about doing it. It is not a strategy that is on the table today. I can't exclude it in the future. Concerning the combined ratio evolution, I leave the floor to Enrico and then I will answer maybe to the other one later.
Enrico Pietro: Elena, so the motor combined ratio is already better than our target. But still, I think it's prudent to keep the 95% combined ratio target for the plan, considering that we had a very good year for motor other damages and also that market condition in MTPL can change in the next 2 years. And as far as the non-motor is concerned, the relevant growth, both in bancassurance and in health, of course, is a very good news, but it was already for a very big part included in our strategic plan. So our aim is to grow where profitability is high and volatility is low. And so both of those businesses are perfectly fit in this strategy. So maybe it could be a little better, but the biggest part was already included. And the third question was about the property business. Yes, can produce some noise because, of course, nat cat is volatile, but we are very careful in growing in property and especially in cat nat, very careful to avoid risk concentration, both geographical risk concentration and also peak risk concentration. And last but not least, we have a very solid reinsurance coverage. So we don't -- we added to our traditional reinsurance program about the excess of loss treaties. The aggregate treaty that protect us also from frequent medium-sized events that can be below the attachment point of the reinsurance treaty in excess of loss. So it could happen, but I think in this case, we will be able to deliver good results anyway.
Matteo Laterza: Elena, concerning the pension funds, we had, as you said, the impact in the first quarter of the year. But also in the final quarter of the year, there was an impact as well. And concerning the contractual service margin overall, the contribution to the CSM is overall coming from the pension fund is EUR 25 million on a total of EUR 287 million of total new production profitability. And finally, concerning the provisions, there are part in the P&C business, in particular, EUR 20 million concerning the tower in San Donato that I mentioned before. But also in P&C, there are EUR 30 million of charge that we very prudently booked on the financial investment in fiscal credit coming from the bonus 105%. Very prudently, we decided to put this further EUR 30 million. So total, EUR 50 million. And other EUR 10 million are in the other activities. Then there is in Life also more or less EUR 10 million coming from the integration of Cronos that, as you know, we incorporated in the final part of the year.
Operator: The next question is from Antonio Gianfrancesco of Intermonte.
Antonio Gianfrancesco: Two from my side. The first one is on the financial investment yields. You reported a gross financial investment yield of 5.2% in 2025 with a 4.2% running yield. So given the current rate environment and your asset allocation, how should we think about the forward-looking running yield for the next 2, 3 years? And I was wondering if -- do you see scope for improvement. Or should we assume a sort of stabilization around current levels? And the second one, sorry for that is a follow-up on the CSM because I understand that in 2025, there was -- there were some, let's say, one-off, for example, Cronos integration and extremely favorable economic variances. But looking ahead, how should we think about the sustainable growth rate of the CSM? For example, 15% growth year-on-year before release could be a reasonable assumption, also considering your -- what you said about the driver for the life premiums in the future?
Matteo Laterza: Thank you to you. Concerning the financial investment yield, looking forward, you should trust on the ordinary component of the investment yield because you never know, and we never do assumption neither positive nor negative on the performance of financial markets. So we tend to assume no capital gain or capital loss coming from the mark-to-market of financial assets. And consequently, the 4% running yield could be assumed as a proxy also of the ordinary contribution coming from the investment. Having said that, in the history, we always succeeded in producing additional alpha on that, but it is not, of course, a certain event. And so prudently, you can maintain the 4%. Concerning the CSM, our target, and that is the -- what we achieved in the past, is to have a final CSM that is in line or higher than the opening CSM. It means that the CSM creating from the new production plus the expected return that is a part of the organic and ordinary CSM is in line or above the CSM released. We don't consider the economic variance component because it is something that has nothing to do with the performance of the company because it is a byproduct of performance of financial market. And as you correctly said, in 2025, there was the extraordinary contribution coming from the CSM that we inherited from Cronos that is a one-off. In Life, we are working on the quality of the production in order to increase the contribution coming from annual premium, terms product and all the line of business where we can have a profitability that is a multiple of the profitability that we can have from investment product. We look forward as a consequence of that, to increase the contribution coming from CSM, but it is a very long path that you have to follow through a strategy focused on the quality of the product, the kind of product that we distribute, the quality of the distribution with our agents that are all drivers in which we are fully committed to execute an improvement of the quality of the production in Life. But in general, what we look forward is to produce with the expected return more than we release.
Operator: The next question is from August Marcan of UBS.
August Marcan: My first one is on your reinsurance renewals. Some of the -- your European peers were saying they could either get quite better terms and conditions or lower prices. So I was just wondering if you have any comments on how your renewals went. The second one is, I just wanted to get your thoughts on -- it seems that the dividend is going to run ahead of the target. The motor combined ratio already is ahead of target. I was just wondering, have you considered internally just upgrading the '27 targets? And then finally, on capital, I think you made it quite clear that you want to be ready if there's any inorganic opportunity on the market. But my question is, if it's the case that there is no opportunities by end of the plan, would you then consider returning that capital to shareholders?
Matteo Laterza: Okay. I start answering to the first question about reinsurance renewals. Yes, the market has evolved after a couple of years of hard market started a new phase of softening market for reinsurance cover, especially, of course, nat cat covers that accounts for the vast majority of the premium. We are paying to reinsurer to cover our profit and loss account and our capital position. So yes, it was a year in which due to the improving results of the reinsurance market on a global base, but also on our homework on our risk management activity, we were able to obtain a risk-adjusted decrease of low double-digit decrease. Of course, at the same time, there was an increase in the amount of risk we have to cover, and this partially offset this decrease in the cost of the main treaties that is the excess of loss in properties. So for the near future, we expect that there could be another period in which if things on nat cat business continue to go this way, we could obtain a further reduction in prices and improving in condition of reinsurance treaties.
Enrico Pietro: On the other question, again, on dividends, it is not in our attitude to restate target in any way. our commitment is in over-delivering the target. We said quite clearly several times that EUR 800 million is a floor. So by multiplying by 3, EUR 800 million, you can understand what our target is today. It is not necessary to restate target. But what is important is the substance of the concept that says that EUR 800 million is a sustainable number in our industrial plan. On the capital, I've been doing this job for more than 30 years, and I have been also a portfolio manager, and I did the same question several times to the CEO of the company. Believe me, it is not a good situation being my shoes to be short of capital when you need it. So asking to restate capital to a company could be in the short term, a very positive action for the stock price, but it is not a good idea in the medium, long term because when you are in a situation like the COVID that we had a few years ago or the Lehman bankruptcy in 2008, being short of capital is a very awful situation for a CEO of the company and asking for capital in a very bad situation in financial market is not very easy. And so it is not an option for us. We are committed to use this capital in a very profitable way. It is a duty of an administrator or a CEO of a company. And this is the commitment in which I can assure that this capital will give -- will deliver a very good and satisfactory remuneration for the shareholders.
Operator: The next question is from Alessia Magni of Barclays.
Alessia Magni: Last question from me on -- the others have been asked. On capital, if you have to invest outside, so inorganically, what would be the areas of interest that you potentially look at? And would you also look for assets outside Italy?
Matteo Laterza: Yes, we are interested to all the opportunities that can create value for our shareholders, of course. And in our country, there are not so many opportunities in the market also because we are the first player in P&C. And so there are not so many -- no opportunities at the moment to use the capital that we have. It doesn't mean that in the future that can -- we can have some opportunities that we can exploit in the insurance business where we are -- we have our core business. Outside the country, as we have always said, we look at all the opportunities that can create value. It is quite difficult to create synergies in the cross-border transaction. But nevertheless, and it is a commitment that we have already had in the past, we don't have a bias in an area or in another. Of course, we are interested to our core business that is P&C. And if we would have an opportunity to look at, we would do it with interest. At the moment, there are not also in this case, interesting opportunities also because in this moment, in the other area outside Italy, again, we don't have transaction that can be -- in which we can be interested, too.
Operator: [Operator Instructions] Mr. Laterza, there are no more questions registered at this time.
Matteo Laterza: Thank you very much to all of you, and we will see again in May for the first quarter. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones. Thank you.